Venus Zhao: Good morning, everyone, and welcome to CBL International Limited's Annual Results Presentation for the year ended December 31st, 2024. Today's meeting will be conducted in English with simultaneous translation into Mandarin. Before we begin, I'd like to remind you that today's presentation will include forward-looking statements made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from your expectation. Thank you for joining us today. I'm Venus Zhao, Investor Relations and Public Relations Director of CBL International Limited. Presenting alongside me are Dr. Teck Lim Chia, Chairman and Chief Executive Officer; and Mr. Nicholas Fung, Assistant Chief Financial Officer. We are excited to share our performance and achievements in fiscal year 2024 and provide an overview for fiscal year 2025. Let's begin with today's agenda. Our presentation will cover the following: first, company information; second, market trends and geopolitical impact; third, financial review; fourth, operational review; fifth, strategic initiatives and market outlook. sixth, Q&A. Let me start with a brief introduction to CBL International. CBL International Limited, NASDAQ ticker BANL, is the listing vehicle of Banle Group, a reputable marine fuel logistics company based in the Asian Pacific region that was established in 2015. Our key services include bunkering services across strategic global ports supplying both fossil fuels and sustainable fuels and serving container liners, bulk carriers and tankers. We are a global marine fuel logistics provider operating under an asset-light business model. We are recognized as professional and trustworthy by our business counterparties, delivering flexible and integrated vessel refueling solutions. Our competitive advantages include: first, global ports network. We operate in over 60 ports across Asia Pacific, Europe, Africa and Central America. Second, supplier relationships. We maintain strong relationships enable us to offer competitive fuel pricing, favorable credit terms and operational reliability. Third, customer relationships. With our extensive service, we can provide one-stop refueling solutions for customers, ensuring seamless service and operational efficiency. Fourth, growth strategy. We are focused on expanding our service network, increasing sales volume and integrated sustainable fuel solutions to meet evolving market needs. This short corporate video will give you a comprehensive overview of our company's operation. Please enjoy. [Audio/Video Presentation] I hope this video provides insights into who we are and the exciting opportunities that lie ahead. We maintain long-term strategic partnerships with global industry leaders and are recognized in the industry, as a professional and trustworthy provider of flexible and integrated vessel refueling services. Through collaboration with reputable local partners, we are consistently deliver high-quality services to our clients worldwide. This ensures access to efficient, reliable and competitively priced bunker fuel solutions, meeting the diverse needs of the global maritime industry. Now we move on to the market trends and geopolitical impact. Let's continue. Seaborne trade and container volume has demonstrated steady growth as shown in this review of 2024. According to UNCTAD and Clarksons Research, total seaborne trade grew by 2.5% in 2024, while containerized trade grew by 2.9%. Both are forecasted to maintain that moderate annual growth rates through 2029. Container volume for all trades increased by 5% in 2024, with head haul and regional trades achieving growth of 6%. These numbers reflect the consistent recovery and expansion of global trade. CBL's bunkering operational network aligns strongly with this trend, with a presence in 13 out of top 15 global container ports, including all of the top 10 ports such as Shanghai, Singapore and Ningbo-Zhoushan. On the customer front, CBL serves 9 out of top 12 global container liners, which represents a combined around 60% market share in global container liners. Let's move on to this slide, which highlights geopolitical resilience of CBL. Global maritime trade faced significant disruptions in 2024 due to geopolitical tensions. The Red Sea crisis, which began in October 2023, severely impacted key maritime routes such as the Suez Canal and Bab El-Mandeb Strait. This led to rerouting of vessels, long transit times and increased operational costs. For example, the voyage from Rotterdam to Shanghai increased from 25.5 days to 34 days. This disruption also triggered a surge in freight rates and heightened bunkering demand, particularly in regions like Asia Pacific, Mauritius and Cape Town. Middle East tensions further exacerbated the situation, increasing insurance premiums and raising operational costs for shipping companies. The ongoing Ukraine conflict continue to destabilize the energy markets, resulting in bunker fuel price volatility. While prices spiked during the initial phase of the crisis, they began to stabilize later in the year, as the market adjusted to new demand patterns. Despite a projected slowdown in global GDP growth to 2.6% in 2024, maritime trade demonstrated resilience with total volumes increasing by 2% Containerized trade outperformed the broader market, expanding by 3.5%, as supply chains continue to normalize post pandemic. Despite these challenges, the CBL team responded swiftly and strategically. We adjusted our service network by providing service in new ports, including Mauritius, India and Panama, key locations along the routed shipping lanes. We implemented strategic pricing measures to manage cost volatility and maintain competitive pricing for our customers. Finally, our networks adapted to the evolving shipping patterns ensuring that our clients' fuel needs are met efficiently despite the disruptions. Let's move to our financial highlights. Here are the fiscal year 2024 financial highlights, showcasing CBL's strong performance. Total sales volume grew by 38.1%, while revenue increased by 35.9% to USD 592.5 million, driven by higher demand and operational expansion. Cash balance rose by 8.3% to USD 8 million and operational cash flow surged by 80.6%, reflecting improved efficiency and cash management. Our current ratio of 1.47 demonstrated healthy liquidity, while capital days at minus 2.55 highlights excellent cash cycle management. Delving deeper into our financial results, revenue. CBL's total revenue rose by 35.9%, reaching USD 593 million, up from USD 436 million in 2023. This growth was primarily driven by successful expansion of our supply network and enlarged customer base and support of sufficient financial resources. Gross profit, gross profit declined by 25.5% from USD 7.21 million to USD 5.37 million. To support market expansion and new market entry, the company implemented strategic pricing adjustments. However, the decline in gross profit per ton driven by reduced premium pricing was only partly mitigated by higher sales volume. Operating expenses, operating expenses increased significantly by 56.8% from USD 5.55 million to USD 8.7 million. This rise was primarily attributable to expenses for business expansion and biofuel operation and additional expenses related to enhanced ESG. Net income, net income fell from USD 1.13 million in 2023 to a loss of USD 3.87 million in 2024. This decline was mainly driven by the reduction in gross profit due to the sales volume expansion strategy, increased expenses for business expansion, biofuel operation and ESG expenses, a rise in interest expenses. In fiscal year 2024, CBL's revenue distribution and growth by geographic location highlights key market trends. China accounted for 56.3% of total revenue, followed by Hong Kong at 30.3% and Malaysia at 9.8%, with smaller contributions from Singapore, South Korea and others. Compared to fiscal year 2023, the largest revenue growth was seen in others include Europe, Japan, Vietnam and Thailand, 291%; South Korea at 187%, followed by a 102% increase in Singapore and 38% growth in China. This growth reflects CBL's strategic focus on expanding operations in the emerging markets and strengthening its presence in high-growth regions. CBL's high liquidity and financial flexibility have enabled sustainable growth in 2024. Working capital management, high liquidity strengthened the cash cycle and support business expansions. Strong cash position, cash accounts for 12% of current assets ensure immediate liquidity. Bank facility, sufficient facilities are in place to fund future development projects. Debt and leverage, focus on maintaining low debt levels provides flexibility for future growth. Operating cash flow, significant improvement supports reinvestments in network expansion and technology. Just-in-time inventory management, optimized cash flow, minimizes storage risk and enhances efficiency. Minimal fixed assets, maintain a lean asset base ensures operational agility. CBL's high liquidity and financial flexibility have enabled sustainable growth. Let's move on to the operational review. In fiscal year 2024, CBL significantly expanded its global service network, achieving over 70% growth in port coverage from 36 ports since IPO in 2023 to more than 60 ports across 14 countries in 4 continents. Asia, China expanded biofuel supply to Guangzhou in March 2024 and Shenzhen in April 2024. Malaysia launched inaugural biofuel supply in Port Klang in June 2024. India added Mundra Port in Gujarat in July 2024. South Korea, revenue surged by 187% year-on-year. Singapore, revenue grew by 102% year-on-year. Europe, strong growth in the Amsterdam, Rotterdam, Antwerp ARA region, opened a new office in Ireland in late 2023, enhancing sourcing capabilities. Africa, enter Mauritius, enabling key bunkering services in Africa, Central America, expanded coverage in Panama to strengthen the network. In fiscal year 2024, CBL achieved a remarkable growth in sales volume, which surged by 38.1% compared to fiscal year 2023. This was driven by network expansion, new customer acquisition and a strategic shift toward non-container liner segment. Non-container liner customers increased to 45% of customer base versus 32% in 2023, while container liner customers declined to 55% versus 68% in 2023. CBL served 9 of the world's top 12 container shipping lines, representing about 60% of the global container fleet. Expanded market presence in China, Hong Kong, Malaysia, Singapore, South Korea and new ports in Europe, Africa, India and Central America. Diversified operations into bulk and tanker businesses and reduced dependence on the top 5 customers. While average selling price per metric ton decreased by 1.6% in 2024, the strong sales volume growth underscores CBL's ability to adapt and thrive in changing market conditions. Over the year, CBL achieved significant progress in its biofuel supply initiatives with the launch of B24 biofuel, reducing greenhouse gas emissions by 20% compared to traditional fuels. This expansion included new sales in Malaysia, Hong Kong and various ports in China, as well as the first B24 biofuel supply in Singapore in March 2025. CBL also achieved ISCC EU and ISCC+ certifications ensure compliance with sustainable green fuel standards. Biofuel sales volume surged over 600% year-over-year, supported by a mid-2023 launch, strengthened supplier relationships and reliable supply chains. These efforts help customers meet IMO GHG targets, while offering sustainable cost-effective alternatives. Looking ahead, CBL plans to expand biofuel offerings, explore new ports and further stabilize supply chains to reinforce its leadership in green marine fuels. Additionally, the company is evaluating LNG, methanol and hydrogen to meet evolving sustainability regulations and industry demands. Our ESG initiative and corporate responsibility reflects its commitment to creating long-term value through environmental, social and governance excellence. At CBL, we've embedded ESG principles at the core of our business strategy to future-proof our operations and create long-term value. Our 3 strategic objectives form the foundation of this commitment. First, establishing robust ESG management capabilities; second, proactively fulfilling stakeholder requirements; and third, enhancing both our market competitiveness and sustainable financing assets. These efforts translate into 4 clear competitive advantages that differentiate CBL in the bunkering sector. We are gaining a first mover edge in greenfields, sustainable and systematically mitigating regulatory and transitional risks, building unparalleled trust through transparency and maintaining full accountability across our value chain. Our visionary approach is demonstrated through industry-leading initiatives. Our ISCC certified biofuels program directly supports IMO 2023 and EU Fit for 55 targets, specifically targeting Scope 3 emission reductions. The results speak for themselves. We achieved over 600% biofuel sales growth in fiscal year 2024 using 100% waste-based UCOME feedstock, ensuring 0 deforestation impact. To institutionalize these efforts, we've established an in-house ESG committee that oversees our energy transition road map, GHG reduction programs and sustainable sourcing policies. CBL's 2025 ESG plan and long-term commitment underscores the importance of adopting ESG practices to enhance transparency, implement sustainable initiatives, manage risk and meet stakeholder expectations. On the environmental front, CBL leads with its biofuel initiative aligned with IMO's 2023 strategy, blending marine fuel oil with 24% UCOME to reduce greenhouse gas emissions. The company also supports customers in achieving sustainability goal, while ensuring its biofuel production avoids deforestation, land use changes or competition with food production. In terms of social responsibility, CBL promotes equitable practices, including adherence to pay-for-performance principles, fostering diversity and inclusion with strong female representation and supporting employee development through education subsidies. CBL also prioritizes employee well-being with regular events and encourages community engagement by offering staff time off to volunteer. On governance, CBL ensures accountability through annual director elections and rotation, robust stock ownership guidelines and strong Board oversight. These efforts underscore CBL's dedication to sustainability, corporate responsibility and long-term growth. The plan is structured across 3 phases: Q1 to Q2 2025, establishing a sustainability strategy, governance framework and action plan. Q1 to Q3 2025, improving sustainability management and implementing the sustainable development plan. Q3 to Q4 2025, enhancing disclosure practices and strengthening Investor Relations. Let's move on to strategic initiatives and market outlook. Look ahead to fiscal year 2025, our key initiatives include expanding our service network, strengthening our presence in the Asian and Europe markets, entry into emerging markets, continue expanding port coverage, maximizing sales volume, targeting new customers and segments, while maintaining strong relationships with existing clients, enhanced market position, stronger and more in-depth supplier relationships, exploring sustainable fuels, biofuel adoption remains a core focus alongside exploring other sustainable fuels. The global green marine fuel market is expected to grow at a CAGR of 50.4%, creating significant opportunities for us to lead in this space. To address current challenges, CBL has outlined a clear strategy to improve its performance across 3 key areas. First, to improve gross profit, the company plans to increase sales volume through network expansion and new customer acquisition, while leveraging its network to mitigate supply chain disruptions. CBL will also focus on developing biofuels and exploring sustainable fuels such as methanol and LNG for higher margins, alongside achieving economies of scale to reduce unit costs. Second, to maintain sufficient cash flow and manage working capital, CBL will prioritize a strong cash position, strengthen liquidity and closely monitor accounts receivables and payable. Accessing the capital market at the right time and utilizing bank financing will further enhance financial flexibility to support growth initiatives. Finally, to enhance efficiency, CBL will invest in automation and IT systems to streamline operations and explore advanced technologies for continuous improvement, cost saving, upgraded back-end systems and implementing real-time order tracking and data analytics. These efforts will improve customer service and operational efficiency, ensuring sustained progress and long-term growth. Thank you for your attention. We are now happy to take your questions. Please feel free to share your queries and questions on the online box, and I will facilitate the discussion alongside with Dr. Chia and Mr. Fung.
A - Venus Zhao: Okay. The first question is from Cathay United Bank Company Limited, [Steven Pun]. The question is, despite impressive revenue growth in 2024, the company transitioned to a loss. What drives this shift? And what factors caused the cost of revenue to increase more than revenue in 2024? And how will you address this going forward? Can you discuss the factors behind the significant increase in operational expenses in 2024 and your expectations for expense management in 2025? This question, I would like to direct to Nick to answer.
Nicholas Fung: Okay. Thank you, Venus. First of all, we experienced a net loss in 2024, which basically influenced by a few factors. First is reduced gross margin, higher operating costs, ESG-related expenses, increase in interest expenses and investment in biofuel operations. In 2024, we adopted our volume-driven strategy to achieve significant revenue growth and expand our market share by adding new customers, expand our supply network to cover more ports and broaden our customer base. CBL expanded its supply network to cover 60 ports now. We recruited bulk carriers and oil tankers in addition to our traditional container liner operators. However, the strategy of our short -- in this regard, impact our short-term profitability, resulting in a net loss for the year. This shift was driven by decline in gross profit. We offer more competitive pricing in market and contributed to narrow profit margins. In the bunkering sector, disruption in Red Sea and shift in shipping patterns led to increased price sensitivity among our customers. To support the volume growth and strengthen our market position, the company offer more competitive premiums, which reduced gross profit per ton and contributed to overall decrease in gross profit. Our consolidated gross profit reduced by almost 25%. Despite we experienced a short-term impact to our profitability in 2024, we believe our volume-driven strategy will support our long-term operational efficiency, full economic scale by increasing order volume and enhancing procurement at key ports. The company expected to optimize unit cost and improve gross margin over time, particularly as market conditions stabilize. To address going forward, we focus on increasing sales volume through service network expansion and new customer acquisition, expanding our network coverage to navigate supply chain disruptions. In addition, we aim to develop biofuel and explore new sustainable fuels such as methanol and LNG, which offer potential for high margins. Achieving economic scale will further reduce unit cost, supporting margin recovery. To address rising operating expenses, we plan to implement automation and IT system to streamline operation to improve our operational efficiency. This upgrade will enhance resource allocation and enable continuous operation improvements. Additionally, we will prioritize customer service enhancement and cost-saving initiatives to optimize expense management in 2025. Moving forward, we focus on scaling operation, improve efficiency and leverage sustainability fuel opportunities to expect enhance profitability, as market conditions normalize. Thank you.
Venus Zhao: Thank you, Nick. Now we come to the second question is from Hang Seng Bank Limited, Marcus Wong. Can you please discuss your service network expansion, customer mix and future potential?
Teck Lim Chia: Thank you very much, and good morning to everyone. I think since our IPOs in the year 2023, we have expanded our servicing network from 36 ports to over 60 ports as of the 31st of December last year. So currently, we are covering 7 of the top 10 ports in the world. And also in the year 2024, the company has expanded our market coverage to include Mauritius, Panama and India. So basically, we are covering 4 continents of the world right now. And thanking to our broadening of the service network, we are able to continue our efforts in diversifying our customer base to include not only the container lines, but now to other vessel segments, including the bulkers and also the tankers. Last year, the non-container liners revenue contributions actually raised up to 45% as compared to 32% in the year 2023. So furthermore, the revenue of the top 12 container liners is also increased on a year-over-year basis. And going forward, we shall balance the economic of scale from our existing network with opening of more strategic locations. So we will strike the balance between a new port strategic opening of the locations versus economic of scale on our existing network. Thank you, Venus.
Venus Zhao: Thank you, William. Okay. Please feel free to type in your questions on the online box and I will read it aloud. The next question is from SDICS International, Frank [indiscernible]. The question is biofuel adoption trends, the introduction of B24 biofuel has been a strategic focus with operations in Hong Kong, China and Malaysia. How do you expect biofuels to develop in 2025? This question, I would like to develop -- I want to dive to William.
Teck Lim Chia: Okay. Thank you very much. The company has expanded our coverage besides Hong Kong, China and Malaysia, and we have did our first supply in Singapore earlier this year. So our network has continued to expand as well. So our biofuel sales in the year 2024 has surged over 600% comparing to those in 2023, demonstrating a robust demand for biofuel in the coming years. And also, we can see that the regulations for IMO, for GHG emissions, as well as the FuelEU Maritime regulations are tightening. So the global green fuel market is actually projected to grow at a CAGR of about 50.4%. So the company shall see that the sustainable fuel market as one of our focus points in moving forward. Thank you.
Venus Zhao: Thank you, William. Okay. The next question will be from HSBC [indiscernible]. The question is, the bunkering industry is highly competitive. How does CBL's marketing emphasize its unique value proposition, for example, one-stop solution supplier network to retain existing customers and win the market share from rivals in 2025. I would like to ask the question to William.
Teck Lim Chia: Okay. Thank you very much. Well, I think we can see that CBL's competitive advantage actually lies in its extensive global supply network. We provide one-stop refueling solutions and also we ensure quality of our services, which will streamline the operations for our customers. And our global network presently making up of more than 60 ports provide access to flexibilities and also operational reliabilities to our customer. At the same time, we also provide comparative pricing. While our compliance framework also ensures the adherence to environmental standards. We can now today say that 9 out of the 12 world top global container liners is a strong proof of CBL's market reputations and effective supply network. Thank you.
Venus Zhao: Thank you, William. Okay. Now we come to next question. Please feel free to type in your question on the online box and I will read it out. The next question comes from BOCI, Tony Fei. The question is, environmental regulations are driving demand for green fuels, but also increasing compliant costs. How do you view the ESG market development? I would like to direct this question to William.
Teck Lim Chia: Thank you very much. Well, we can see the rising demand for green fuels and also the stricter regulations are not just challenges, but we see that as also opportunities to us. So in response to the IMO GHG strategies, FuelEU marine time to reduce carbon emissions by at least 40% by the year 2030. Many owners have actually placed notable increased orders for dual-fuel engine vessels, which means that the vessel can operate with traditional fuel or biofuel and at the same time, alternate fuels such as methanol and LNG. This provides the flexibilities, while transforming to sustainable energy sources. So in addition, we can see that many governments are also providing policies and tax incentives to support the adoptions of alternate fuels. CBL is in a close alignment with these regulations and the market trends by expanding our biofuel supply network, while at the same time, we're also exploring other sustainable fuels such as LNG and methanol. The company also see this as part of our ESG initiatives and the long-term strategy in enhancing our corporate value. Thank you.
Venus Zhao: Thank you, William. We received more questions on our online platform. Please feel free to type in your questions. Now the next question comes from Jefferies, Alan Lau. The question is, the United States plans to impose port docking fees on ships related to China, but recently under consideration delayed implementation and new fee structures designed to reduce the overall cost to visiting Chinese vessels. How does the company assess the impact of this on its business? I will direct this to William.
Teck Lim Chia: Thank you. Well, CBL is closely monitoring the regulatory developments that may impact global shipping and the trade dynamics. It has been changing a lot on a very frequent basis. From what we understand, there might be some changes under considerations like delayed implementations or new fee structures designed to reduce the overall cost to visiting Chinese vessels to the United States. Nothing has been finalized yet. But even though we are now servicing 9 out of the 12 largest liner in the world, majorities of our service networks are in the Asia Pacific region. So to date, we have yet to have any operations in the ports in the United States. Therefore, the new port docking fees policy has no impact on our current business. Thank you.
Venus Zhao: Thank you, William. Okay. We have some more questions coming. The next one will be from ICBCI, Nelson Lee. The question is, considering the U.S. reciprocal tariff updates and announces 90-day pause on reciprocal tariffs with the exception of China, what is the impact on CBL and the bunkering industry? William, please?
Teck Lim Chia: Thank you. Well, we see under the current scenario, we expect minimal impact on our company. First of all, marine bunkering fuel is actually international flying -- for international flying vessels are generally duty-free. So regardless whether it was the previous tax structure or the current tax structure, no tax will be imposed on the bunker. So also, as we explained before, our major services network are generally located in the Asia Pacific, and we are mainly focusing on intra-Asia and the Euro-Asia trades routes. Yes, we do cover some transpacific routings, but our transpacific routings also cover Canada, Mexico and all other South American destinations. So the increase in tariff might reduce the volume of global trades, but bunker is also one of the most essential products for the shipping industry. So we -- as long as the number of services by the liners are stable, the impact on us should not be too material. However, if in the long run, the global trade has come to a standstill and the world economy will likely to be in a recession, and the impact, I believe, will be applicable to everyone. Thank you.
Venus Zhao: Thank you, William. Now we have the next question from Hooray Securities Limited, H.C. Kwan. The question is, given the 2024 loss, what are your sales volume and gross profit margin targets for 2025? And how will the focus on biofuels and economies of scale contribute to reversing the profitability decline? William, please?
Teck Lim Chia: Thank you very much. In the year 2025, we aim to increase our sales volume and recover our gross profit margins through network strengthening and expansions, developing new customers and also to increase our sustainable fuel adoptions. Since the beginning of 2025, our strategic efforts have yielded improving results, strengthening and expanding our geographical coverage to maximize our sales volume and to our customer reach, targeting new customer segments, while deepening the relationship with our existing clients, prioritizing biofuels and other green alternatives to capitalize on higher-margin opportunities. These are the things that we will be looking at. And also simultaneously, economies of scale from expanded operations will reduce our unit cost, which further support our profitabilities. These efforts, coupled with our disciplined expense management, will position us to navigate through the uncertainties of macroeconomics, while we delivered value to our shareholders. Thank you.
Venus Zhao: Thank you, William. Okay. Due to time constraint, we will take another 2 questions. Please feel free to type in your questions on the online box. So the next question will be from Citibank, [Pauline Lau]. The question is, in August 2024, CBL filed a private placement, and on January 10, 2025, the company filed a shelf registration statement, which became effective on January 24, 2025. Subsequently, the company filed an ATM offering on February 28, 2025. What are the use of proceeds of this capital market transactions? Nick, please?
Nicholas Fung: Okay. Thank you, Venus. CBL filed a shelf registration statement on January 10, 2025, which become effective on January 24, 2025. The aggregate initial offering price of the securities that we may offer and sell will not exceed in total $50 million. Subsequently, the company filed an at the market offering on February 2025, with an aggregated offering price of up to $2.6 million approximately in that amount. Well, we, CBL policy in fund management and also our working capital is very disciplinary and we're really cautious in managing our working capital. We intend to use the net proceeds from the issue of sales -- shares for general corporate purposes, which include mainly the network expansion, biofuel business development, acquisition and other business opportunities and repayment of indebtedness. Proceeds will also support working capital needs to scale operations, enhance automation and explore acquisition that's aligned with our growth opportunities -- objectives, sorry. In addition, we believe our stock is undervalued currently and retain flexibility to leverage this capital market transaction to optimize our shareholder value. Management maintains board discretion to allocate funds in a manner that balance growth, operational efficiency and shareholders' value creation. Thank you, Venus.
Venus Zhao: Thank you, Nick. Okay. Now we see the last questions on the platform is from [indiscernible]. The question is, with cash increasing modestly to USD 8.02 million by year-end 2024, how do you plan to allocate funds or seek additional financing to sustain growth momentum? Nick, please?
Nicholas Fung: Okay. We have a cash balance of $8 million at -- by the year-end, we are comfortable with -- CBL optimized its cash cycle, accounts receivable days, accounts payable days, improving liquidity and operational efficiency. In 2024, the company's factoring facilities increased compared to the previous year, alongside with a higher cash balance, reflecting strengthened liquidity and financial flexibility. In key -- in prioritizing our fund allocation, we basically first have to concentrate also in network expansion, our biofuel business development and operational automation. Capital, we directed towards geographic growth in network expansion and scaling of biofuel production and deploying advanced IT system to streamline operations. Our use of cash as working capital to expand our business support is one of our group strategy, and also our objectives, which is essential to our business. Support of customer acquisition efforts and enhanced service delivery capabilities across our 60-plus ports network. In addition, CBL expanded its funding sources by accessing capital markets such as private placement, increased financial flexibility, and we will continue to explore capital market for strategic growth including potential acquisition or partnership that aligns with our sustainability and operation goals. By balancing current liquidity with external funding opportunities, CBL aims to sustain its growth momentum, advance its biofuel offerings and deliver long-term value to our shareholders. Thank you.
Venus Zhao: Thank you. Thank you, Nick. I think that concludes our fiscal year 2024 webcast. If you require additional information or have additional questions, please do not hesitate to contact us on our IR e-mail on the website. Thank you for your participation again, and hope to see you next time. Thank you.